Operator: Welcome to the Indutrade Q4 presentation for 2025. [Operator Instructions] Now I will hand the conference over to CEO, Bo Annvik; and CFO, Patrik Johnson. Please go ahead.
Bo Annvik: Welcome, and good morning on our behalf as well. Let's start with a summary of the year 2025. It was a year with market uncertainty and continued dampened demand, although conditions improved throughout the year. We improved operationally and financially gradually during the year, and we also further strengthened our long-term strategic capability as our new segment structure now is fully established. In terms of financial numbers, 2% total growth in order intake, organically also plus 2%. Net sales decreased by 1% in total, of which minus 2% organically, driven mainly by backlog reductions during 2023 and 2024. The EBITA margin of 13.8%. Excluding extraordinary one-offs in the year, the EBITA margin came in at 14.1%. The cash flow was continued on a high level and the financial position of the group is very strong. In terms of acquisitions, we acquired 13 well-positioned and profitable companies during the year with a total annual turnover of SEK 1.3 billion. The Board proposes a dividend of SEK 3.1 per share. Looking at the Q4 highlights, organic order growth of plus 3% with positive development in many companies and all larger customer segments. Three out of 5 business areas grew organically and the remaining 2 were stable from last year. More than half of the companies had organic order growth. The strongest demand from customer was within Energy, Water & Wastewater and Infrastructure and Construction. Net sales decreased by 1% in total. Organically, it was unchanged. The reported EBITA margin came in at 13.3% compared to 14.6% the same period last year. However, underlying EBITA margin was strong at 14.9%, excluding the extraordinary one-offs in the quarter. And this we will comment more on later in the presentation. Underlying EBITA margin last year was 14.3%. Cash flow from operating activities amounted to SEK 1.6 billion, in line with the high level last year, and there were continued inventory reductions from our companies. The acquisition pace was good in Q4 with 4 announced acquisitions, and the pipeline also remains good, both short and long term. Moving into order intake and sales trends. Demand continued to improve and was stronger than last year with positive development in many companies, customer segments and geographies. Development was generally positive in all larger customer segments, and the strongest performance was seen in the Energy sector, Water & Wastewater and for companies with customers within Infrastructure and Construction. Order intake improved in the majority of the companies and was up 3% organically. Order intake was in line with sales, which is good as book-to-bill is seasonally weaker during the second half of the year. As you can see on the slide, currency has a large impact of minus 4%, which together with a minus 1% from divestments impacts total growth on orders and sales materially. Adjusted for currency and divestments, the underlying situation is clearly better with plus 7% growth in orders and plus 4% in sales. Organic sales development was strongest in the Industrial & Engineering business area and also Infrastructure & Construction grew organically, while it was weakest in Technology & System Solutions. Looking more specifically at the sales per geographical market. Sales to Sweden was flat from last year and down in Denmark due to the high comparables from last year when we still had some deliveries to Novo Nordisk from the large order we received 2 years ago. Finland was stable from last year and Norway stronger. Development in Norway is mainly connected to flow technology products for water and wastewater, aquaculture and marine applications as well as other products for infrastructure customers. For the rest of Europe, sales growth was strong in Benelux, mainly due to good development within valves for power generation and also single-use products for pharma production. U.K., Ireland and Germany was down as a result of the generally weaker business climate in those areas. Sales growth in Switzerland and Austria was strong with good developments for companies with customers within Infrastructure & Construction and MedTech & Pharmaceuticals. Sales development in North America and Asia is normally slightly volatile but was down compared to last year and, among other things, related to companies within business area Technology & System Solutions having a weaker demand on the back of the tariff situation. Total EBITA decreased 10% from the same period last year to SEK 1.1 billion, corresponding to an EBITA margin of 13.3%. However, this quarter was strongly affected by extraordinary one-offs, primarily connected to 2 companies in the U.K. within business area Technology & System Solutions. Patrik will elaborate a bit more on this later in the presentation, but I want to highlight that they are non-recurring and extraordinary and you shouldn't expect these type of items from Indutrade. Adjusted for the one-offs, the underlying EBITA margin was strong at 14.9% compared to the underlying EBITA margin of 14.3% last year. The gross margin was continued at a high level of 35.4% and even stronger than last year if you exclude these 2 U.K. companies I talked about. Organic expenses is under control. As mentioned earlier, organic sales growth was strongest in the business area Industrial & Engineering with positive development in many companies, for instance, infrastructure machinery and railway rolling stock. Infrastructure & Construction also had a slightly positive development, however, from low levels as the demand has been dampened for many quarters. We saw, for instance, strong development in the Water Distribution segment. In Life Science, there was a strong development in several areas, for example, single-use companies and broadly in the MedTech segment, but was offset by references connected to sales to Novo Nordisk last year, as I mentioned earlier. Also, Process, Energy & Water had tough references in many companies. And the main reason for negative development in business area Technology & System Solutions relates to project revenue recognition adjustments linked to the U.K. situation I spoke about earlier. Without those adjustments, the organic development was minus 2%, partly connected to the lower sales to the U.S. Moving into EBITA margin development per business area. As mentioned, the total gross margin was strong, which is driven by multiple factors like mix and currency, but it's also a sign of quality in our product offerings and strong pricing power. Industrial & Engineering improved EBITA margin as a result of the strength in gross margin, but also leverage on the organic sales growth. Infrastructure & Construction was close to last year's level, but was negatively affected by a lower gross margin in a few companies. Life Science also improved EBITA margin despite strong sales references from last year, mainly due to positive product mix with good sales development from some high-margin companies. Process, Energy & Water and Technology & Systems Solutions had a weaker EBITA margin compared to last year as a result of the organic sales development and slightly higher expense levels. The one-offs in Technology & Systems Solutions I mentioned earlier is recognized as group items outside the business area, so no impact on the EBITA margin from that in the BA. In 2025, we welcomed 13 profitable and well-positioned companies to the group with a total annual turnover of SEK 1.3 billion. The acquisition pace was lower during the first half of the year, but increased significantly during the second half with 10 acquisitions completed in the second half. In the fourth quarter, we announced 4 acquisitions where the acquisition of ATM Group marked our first acquisition in Spain. ATM is a technical trading company specialized in single-use components for Life Science applications. We have many similar companies in the single-use area in other geographies in Europe. So this acquisition is a good example of our ability to expand into new markets in a controlled yet opportunistic way. We have gradually strengthened our acquisition resources and our business areas work independently with different projects. This together with business segment leaders being more proactive in the acquisition work and internal pipeline generation is a strong platform to use in gradually increasing our acquisition pace going forward. The pipeline is good, both short and long term, and I look forward to announce the first acquisition in 2026 very soon. Looking at the longer trend, we are stepwise increasing number of acquisitions, although number of acquisitions per year can be a bit volatile. Looking at the bridge effect from acquisitions over the last 12 months, we have added over SEK 190 million to the group's EBITA in 2025. Furthermore, we can also see that the acquisitions are margin accretive with an accumulated EBITA margin of 16% for the quarter and 16.4% rolling 12 months. Good to note that this includes transaction costs, so the underlying margin is even higher. By that, I leave the word over to Patrik to comment more on the financial situation.
Patrik Johnson: Thanks, Bo. So let's dive a little bit deeper into the data. Total growth for orders and sales in both the quarter and for the full year was plus 2% and minus 1%, respectively. Positively, book-to-bill is at 1 in quarter 4 and above 1 for the full year. And as mentioned earlier, there is a seasonality in the book-to-bill, where the first half of the year is normally stronger than the second. In quarter 4, the gross margin was at 35.4% versus 35.7% last year, but impacted by the one-offs in the quarter. Excluding the one-offs, it was higher than last year. And for the full year, the gross margin remains ahead of last year, even including the one-offs actually. Expenses, not in the table, but they are, as said, under control and increased organically only marginally with around 0.5 percentage point, excluding one-offs. EBITA decreased with 10% in the quarter and 5% for the full year as a result of the one-offs in the quarter. And talking about the one-offs then. First, we had the non-operational one-offs connected to earnout and goodwill write-downs as we have from time to time, and then the net effect of those was small, minus SEK 3 million. But then in addition, we had an extraordinary one-off items of, in total, SEK 125 million from 2 U.K.-based companies in the business area Technology & System Solutions where we identified the need to reassess projects in terms of cost estimates and also degree of completion, particularly related actually to a few large projects with long lead times that have both new complex technology and customer application areas. Excluding these one-offs in the quarter, the underlying EBITA margin improved to 14.9% versus 14.3% last year. Moving further down into the P&L. Finance net decreased by 5% in the quarter and 14% year-to-date because of both lower interest rates and lower debt level. Tax costs decreased 10% in the quarter and 1% year-to-date. Earnings per share was also impacted by the one-offs in the quarter amounting to SEK 1.72 in the quarter and SEK 7.03 for the full year. Return on capital employed declined slightly to 18%. Also that's mainly due to the one-offs in the quarter. Operational cash flow was unchanged from the very high levels last year, and I will elaborate some more on that on the coming slides. Net debt-to-EBITDA end of the quarter -- end of the year is at 1.4x, a low level, same as last year. So let's move on to the cash flow. And that is, as I said, in line with the record high levels of last year, amounting to SEK 1.6 billion in the quarter. Improvements versus last year relates to the strong underlying results in combination with continued good working capital reductions. I think it's good to note that the one-offs in the quarter had no impact on the cash flow. It's a bit of sort of proof that they are truly one-off costs. The organic inventory levels continued to decline sequentially and in relation to sales, and the ratio is now at a very good level, almost historically low levels. As we mentioned before, our companies are relatively capital light, and there is a continuous strong underlying cash flow reflected in a good cash conversion, as you can see also from the slide. And it continues to trend on a rolling 4-quarter basis on above 130%, which is the ninth -- actually ninth consecutive quarter with a cash conversion on that high level. The working capital efficiency also continued to improve. Moving on to looking at the earnings per share development over time. And for the quarter, it decreased 14% to SEK 1.72 mainly due to the one-offs we have spoken about. For the full year, it amounts to SEK 7.03, which is a decrease of 7% versus last year. And we are obviously not satisfied with the EPS development. Besides the one-offs, it is, of course, related to a weaker demand and result development in the last 2 years. Full focus is now to come back on good growth levels, and momentum, I think, is good, growth levels in line with our targets, and also with that then deliver earnings per share growth. And lastly, commenting on the financial position. The interest-bearing net debt decreased both sequentially and versus last year from SEK 8.2 billion to SEK 7.6 billion, driven by the strong operational cash flow. Our net debt ratios are stable and low from a longer historical perspective. Net debt/equity was 44% versus 49% last year. Net debt/EBITDA was, as I said, then 1.4, in line with last year. And if you exclude earn-outs, they were at 1.2 compared to 1.3 last year. And if you look at the financial net debt, which is the part of the debt that relates to borrowing that needs to be refinanced, that is historically low at 0.9. And in the quarter, we issued a new 5-year bond loan of in total SEK 1.3 billion at a margin of 1.13% against 3 months STIBOR, which I think shows our strong position in the credit markets. So in conclusion, our financial position is very strong, creating a good room and opportunity for value-accretive acquisitions and also organic growth initiatives going forward. So thanks from my side, and I leave over back to you, Bo.
Bo Annvik: Good. And we summarize the key takeaways. Continued organic order growth of plus 3% and stable organic sales, growth of plus 7% and plus 4%, respectively, if you adjust for currency movements and divestments. We had a strong gross margin in the quarter and the expenses are under control, which resulted in an improved underlying EBITA margin of 14.9%. I also would like to comment -- I also would like to make one additional comment on the projects with the one-off effect we spoke about earlier. The projects are in the absolute final phases of completion. Based on the current information and analysis of the projects, all costs have now been accounted for in a prudent way. The 2 companies are independent from each other, but they have shared a couple of senior managers. There are also indications that they should have realized these deviations and accounted for them earlier. These persons have left the companies during last year. Again, this is an extraordinary situation, which would not be expected in the Indutrade group. Going forward, the market uncertainty remains. However, a slightly larger order book, higher acquisition pace and lower references provide some comfort about the earnings trend. 13 companies were acquired in 2025, and all business areas operate independently with acquisition projects and with a strong focus on internal pipeline generation. This provides good conditions for a gradually increasing acquisition pace. We are now fully focused on delivering annual growth of at least 10% per year over a business cycle and a stable EBITA margin of at least 14%. We have made deliberate strategic investments in our platform. Now it's time to harvest. By that, we close the presentation and open up for potential questions.
Operator: [Operator Instructions] The next question comes from Zino Engdalen Ricciuti from Handelsbanken.
Zino Engdalen Ricciuti: Just quickly on the projects. The comments you made now, Bo, it sounds like it was maybe a bit related to these individuals. So my question is how you ensure that anything similar does not happen in the rest of the group, so to say?
Bo Annvik: Yes. I feel certain that this is non-reoccurring. I've been in this role now for almost 9 years and we have had nothing at all similar to this and, as far as I know, Indutrade has never reported anything like this before my time either. We obviously have internal control functions. We have Boards in all companies. We have our external auditors. We have business control functions on business area level, on group level. We have an internal bank. We have a lot of professional sort of control both processes and standards, which eventually will catch up with wrongdoings in different ways, which is also did this time. But if you have persons who deliberately hide things and they are in responsible positions and they cooperate, it can take some time, which it did.
Zino Engdalen Ricciuti: Very clear. And just lastly, is it then, I would say, the very extraordinary circumstance that you put it in the group items and not the business area?
Patrik Johnson: Yes, exactly, they are reported -- the result effect of this is reported then on group items, and that's correct. But it impacts the gross margins since they are -- it's related to these projects.
Zino Engdalen Ricciuti: Understood. And a question on the Industrial & Engineering, which saw a strong margin. I think you commented that it was from lower levels as well given the business environment they occurred [indiscernible], that they have the ability to deliver on this level going forward as well.
Bo Annvik: Generally, I'm quite optimistic that all business areas have opportunities to improve organically 2026 versus 2025. So even if there is not a dramatic business cycle improvement around the corner, there is slightly -- I would say, slightly better environment and more optimistic perspectives when we talk to our companies. So I expect a gradual improvement during the year. And we have now seen 2 quarters in a row with organic order intake improvements, so I think we are trending step-by-step in the right direction, and hopefully this will continue in 2026.
Zino Engdalen Ricciuti: And just a last question for me that's M&A related. You previously made some comments about possibly looking into some larger acquisitions and when you maybe also more prioritize the organic growth possibilities of what you acquire. Relating to the average size of the companies acquired in '25, do you make any particular reflection about it?
Bo Annvik: I would say that they were generally smaller on average than we usually acquire, and it would perhaps be surprising if that would also happen in 2026. So I think it was not a common average size for -- in a full year perspective on Indutrade. Our primary focus is to buy companies around, I would say, EUR 15 million in size, and that will be the intention also going forward. But sometimes, we find companies which are a bit larger. And if we feel that they still are managed by good entrepreneurs who are engaged in their business in the same way as in our general size scope of companies, we are also interested in them. If we are finding really much larger companies where the owner is not really too engaged and it's more like an externally recruited management team without large financial ownership in the companies, we are, I would say, less interested because that's not the typical type of individuals we would like to have engaged in the companies we buy. So that's a bit of a divide in terms of our interest. But -- so you will probably see mostly, hopefully, the EUR 15 million type of size, but sometimes a bit larger, and then it should be where management has been very engaged in the company also on the ownership side.
Operator: The next question comes from Carl Ragnerstam from Nordea.
Carl Ragnerstam: It's Carl from Nordea. A couple of questions from my side. Looking into the organic pace, the sales pace, you grew orders 3% above sales organically. On the other hand, Q4 is a bit of a small order quarter, book-to-bill is still at 1. So could you help me a bit understand the backlog dynamics and how comfortable you are in the organic sales trending up here, I guess, from Q1 and onwards?
Bo Annvik: Quite confident that, that will happen. So there is a better order backlog, as you say yourself, and we see an organic momentum which is positive and has been positive for the autumn and fall here now. And I think the -- also governments in a lot of Western European countries are step-by-step increasing their infrastructure investments, defense investments. So it's not going to be a super significant step-up in Q1, but this trend -- I assume this trend will continue and at some point order intake will also be realized in sales. And yes, so I'm having an optimistic outlook for 2026 in that perspective.
Carl Ragnerstam: That is very clear. And on the gross margin, looking at the underlying gross margin, I assume that it's around 36.5%. You mentioned divestitures, you mentioned acquisitions, you mentioned mix effect. So could you help me unpack a bit on an adjusted basis these levers? And I would also assume that Life Science was an important gross margin driver. You mentioned single-use coming back strongly. So how do you look at the sustainability of this quite good gross margin as you have on an adjusted basis in the quarter?
Bo Annvik: Do you want to start, Patrik, from your side, and then I can finalize with some comments...
Patrik Johnson: Yes. Yes. I mean we don't have a sort of a full detailed bridge on that, but sort of the gross margin improvement is sort of driven by multiple factors, and you mentioned a few of them. And we are –- I mean, our companies -- as we've talked about for a long time, our companies are good with pricing in general. So I think that's sort of the starting point. But then you have on top of that, I think you have favorable mix effects. And I think Life Science is a good example with the single-use area growing with good margins, and also many of our MedTech companies have good margins. So that's also increasing the underlying margin. And then actually currency then, because we have a lot of trading companies in Sweden benefiting from the stronger SEK. So those are the drivers. I can't give you sort of a breakup of that. Is it sustainable? I think it is. And also, you mentioned also acquisitions and divestments, those impacting. So I think it is sustainable. But of course, it will be difficult sort of to push it dramatically more up, I would say.
Bo Annvik: Yes, I agree with Patrik. And I think that's been one of the key trademarks of Indutrade for a very, very long time that we have had stable gross margins. And I've spoken about this in a lot of other calls also that the DNA of an Indutrade Managing Director is really to protect gross margin, and I think they do that in a really good way. The risk factor at some point is maybe the currency. Otherwise, I think we are handling things really well. But I think we will handle that also well. But if that swings against us in this perspective with several percentage points, that will be maybe demanding in some situations. But no, I think this will continue at a good and stable level.
Patrik Johnson: And if I sort of -- only one additional input. I think the currency is, of course, one if you talk about risks in the gross margin. Maybe also there is still a dampened -- we don't have a super strong business cycle and it's a little sort of dampened market still and fewer larger deals projects in the market than you would see in a higher growth environment. And when you have more daily business rather than bigger deals projects, the margins are slightly better. So good business cycle with more projects is maybe slightly dampening gross margins.
Carl Ragnerstam: Very clear. Coming back to SG&A, you touched upon it a bit. It seems to have flattened out quite nicely. So if organic growth comes back, as you alluded to before here, how much could you hold back on cost? Is it more low performers you're working with perhaps fully offsetting the needs of hiring in some other growing companies?
Bo Annvik: Yes. We have worked with SG&A and expenses quite actively, as you know, over the last 2 years, and we have had our ups and downs. And the culture within the group is the glass is half full and they are opportunity driven. I think we collectively have learned to watch certain parameters, and, not least, headcount I think is even higher on the agenda than it perhaps was before. So I think there's going to be a resistance in the system somehow to add headcount, which is going to be more obvious now than perhaps it was before. So some learnings from what we have experienced and some benefits from that going forward. So there, we will keep track on cost versus sales ratios and things like that in a good way.
Carl Ragnerstam: Very good. And the final very quick one, sorry for that. Organic growth -- sales growth minus 1% in Life Science. What is it adjusted for the Novo Nordisk comps roughly?
Bo Annvik: In the quarter, I think, roughly 3% almost, I think, or something.
Patrik Johnson: Yes, almost. I think you have to correct it with around 3%, and so plus 2%.
Operator: The next question comes from Opeyemi Otaniyi from GS.
Opeyemi Otaniyi: Do you mind just talking through sort of outlook for margins from here? Performance in Q4 was quite strong. And so do you mind just talking through what's driving that? But also are you done with the cost, are you done here today, as we've talked through for most of last year?
Bo Annvik: I must apologize, but I didn't exactly hear your question. Which business area did you refer to?
Opeyemi Otaniyi: No, sorry, it was just on margin for group. So Q4 was quite strong. And so should we extrapolate that as we look forward into 2026? And so were there any key things driving margin? Was it sort of just the strong gross margin? Or was it the M&A accretion as well?
Bo Annvik: Yes. I think you have picked it up yourself in a good way in that sense. It was a good gross margin and M&A is also accretive and costs are under control. So I would say that all those factors have implications on that, obviously.
Patrik Johnson: And if you -- I mean, if you look ahead into quarter 1, I think in general you have a seasonality during the year, which is good to understand that quarter 1 is normally slightly weaker. And then margin normally comes back a bit in quarter 2 and is the strongest in quarter 3. And then quarter 4 is maybe sort of an average in line with quarter 2. So that's the normal seasonality. Then you could, of course, have things affecting that. But you start there, I think, then. So normally slightly lower in quarter 1 than quarter 4. Then, of course, it depends on -- organic development is sort of one key driver. And here, we have a slightly higher backlog supporting us going into the year, but still no sort of super strong cycle yet. So -- but again, slightly higher backlog.
Opeyemi Otaniyi: Great. Understood. And maybe just switching gears and talking about M&A. Could you give any updates on the phasing of deal activity through the year? So is it kind of coming down from the pace you saw in Q3 and Q4? And could you also just give an update on divestment activity? I know it's a few minor transactions, maybe largely related to construction, but any updates on divestments would be appreciated.
Bo Annvik: Yes. If you look at Q3, Q4, we are basically adding around SEK 0.5 billion or EUR 50 million on sales values in those quarters and approximately 5 acquisitions per quarter there. And I definitely think that pace will continue in Q1 and onwards in 2026, and medium term will even increase versus this. But short term, that this pace will continue into the next coming quarters. Divestments, should not really expect any divestments. It can happen. It probably will happen, but it's not very common. And I think we have done those we wanted to do relating to this business cycle situation and so on. So not a very active divestment sort of agenda going forward.
Opeyemi Otaniyi: Great. And maybe just lastly, Technology & Systems Solutions organic growth there minus 6%. Do you mind just talking to the drivers there? Was that related to the situation in those 2 businesses you've talked about? Or were there other trends driving that?
Bo Annvik: Yes. So if you exclude that U.K. situation, they were at minus 2%. And they -- that's our most international business area. So they have sales into North America and, not least, the U.S., and also to China, Asia. And there has been some weaker sales short term into the U.S. linked to the tariff situation. There has also been some impact in China. They have had more of a buy local policy since a couple of years, as you probably know. But I think most of our companies have realigned, yes, replaced some of that in -- and found other geographies and opportunities. So I think step-by-step, also TSS will improve in terms of both order intake and sales, and that will happen during 2026.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Bo Annvik: Well, then we thank you for participating and asking good questions and wish you a good continued day.